Kevin Miller: Good morning. And thank you for joining us. This is Kevin Miller, Chief Financial Officer of RCM technologies. I am joined today by Brad Vizi, RCM’s Executive Chairman. Our presentation in this call will contain forward-looking statements. The information contained in the forward-looking statements is based on our beliefs, estimates, and assumptions and information currently available to us. And these matters may materially change in the future. Many of these beliefs, estimates and assumptions are subject to rapid changes. For more information on our forward-looking statements and the risks, uncertainties and other factors to which they are subject, please see the periodic reports on Forms 10-K, 10-Q and 8-K that we file with the SEC as well as our press releases that we issue from time to time.  I will now turn the call over to Brad Vizi, Executive Chairman, to provide an overview of RCM’s operating performance during the quarter.
Brad Vizi: Thanks, Kevin. Our progress towards becoming a world-class services organization continues. We understood early on that to choose our vision we would need a solid foundation from which we could build years into the future. With that end in mind, we had been laser-focused on laying the internal groundwork to support the next phase of the company's life cycle. And I am pleased to announce that our first quarter results demonstrate some of the progress we have made thus far. Three core pillars, underpin the RCM foundation, and each will help support our next phase of growth. The first pillar is a sound balance sheet that affords us the ability to play both defense and offense. The first quarter is a great example. With our strong operating performance during the first quarter, we not only maintained full compliance with our covenants, but we were also able to invest in our future. Given the continued growth we experienced sequentially most of the increase in debt during the quarter was related to investments in working capital as we ramp new accounts. This increase includes investing in human capital to ensure we would be able to support RCM’s growth in the future. The second pillar in our foundation centers on our commitment to the process. Great processes create the framework to generate great results that are consistent and scalable. The key words being consistent and scalable. At RCM, we are adopting a structured approach to incorporate more rigor into driving, not only the overall level of the business, but how efficiently we can execute once we have won the business. Our healthcare division is an excellent case in point. Despite the continued impact of COVID-19 on our school clients, we are still delivering outstanding results. For reference, in Q1 2020. COVID-19 impacted only the last three weeks of the quarter. In Q1 2021, many of the schools and clients we service remained closed to in-person learning for the quarter. Yet despite this headwind HC’s first quarter revenue only declined by $1 million on a year-over-year, basis while growing sequentially by over 20%. But most importantly, although there was a $1 million headwind compared to Q1 of 2020, the division was able to grow gross profit by over $650,000 over the same timeframe. As schools reopen and students returned to the classroom, we are confident RCM’s healthcare division has the infrastructure and processes in place to scale the business much more efficiently in the future. The third pillar in our foundation is our focus. There are three key elements, focus on the right end markets where we can win, focus on how we deliver value to our clients and finally, focus on the people, delivering our results. It's our job to put them in the best position to win. Our IT division offers a great example of how becoming much more disciplined in our focus translates into tangible results for our shareholders. First, we have refined our focus and change our go-to-market strategy. We are pivoting primarily from staffing to managed service and solution capabilities. During the quarter, we secured multiple engagements at several strategic accounts. Second, the way and how we deliver value for our clients is changing as well. Before the pandemic over 80% of our work was delivered onsite at the client's location. This mitigated or dictated the resource pool RCM could draw from. However, today this ratio has flipped 180 degrees to only 20% being onsite. We do not see this changing anytime soon. The benefit to RCM is that it expands our market pool and enhances how we can deliver value to our clients. Taken together, our renewed focus on where and how we deliver value to our clients has resulted in our IT group growing its revenue base both year-over-year and sequentially during the first quarter of 2021. More importantly, our disciplined focus has resulted in an improved margin profile as well. For reference, during the first quarter, our IT group increased gross margin by close to 120 basis points, compared to the 2020 run rate. And in absolute dollars, the division generated the highest gross profit of any quarter over the last several years.  With the fundamental pillars to our foundation in place, I'm confident we have the necessary infrastructure, resource base, and focus that will enable us to scale and support the next phase of growth for the RCM platform. I look forward to share more about updates regarding our broader vision for RCM and the roadmap to get there in the future. Now, I'll turn the call back to Kevin to discuss the Q1 2021 financial results in more detail.
Kevin Miller: Thank you, Brad. Regarding our consolidated results, I am pleased with our team's performance during the first quarter of 2021. Revenue grew sequentially by over $3.3 million, compared to Q4 2020 and despite having a full quarters impact of COVID-19 in Q1 2021, compared to only three weeks in Q1 2020. RCM’s revenue base remained resilient essentially flat on a year-over-year basis. Adjusted EBITDA in Q1 2021 of $1.8 million, increased 194% from $0.6 million in the first quarter of 2020. SG&A expense decreased by $1.2 million or about 12% from $10.2 million to $9.0 million. Turning to our health care division. Despite the continued impact of COVID-19 on our school clients, current revenue of $21.1 million in the first quarter of 2021 only declined by about $1.1 million versus $22.2 million in Q1 2020. We experienced another healthy sequential increase of 14% in Q1, 2021 as compared to $8.6 million in Q4 of 2020. We continue to see incremental gains in our school revenue. Q1 of 2021 was $13.3 million. Q4 of 2020 was $10.3 million. Q3 of 2020 was $3.8 million which compared to Q3 of 2019 was about $10.4 million. As many of you know, we have a considerable seasonality in Q3. And then Q2 of 2020 was only $5.7 million. Non-school revenue was $7.8 million in the first quarter of 2021, as compared to $4.7 million in the first quarter of 2020. Our non-school revenue was $8.3 million in the fourth quarter of 2020. As mentioned, our IT division had a great quarter with revenue and profitability both up sequentially and year-over-year. On revenue, we generated $8.9 million in the first quarter of 2021, compared to $8.7 million in the first quarter of 2020, and $8.2 million in the fourth of 2020. Since the early decrease in the third quarter of 2020, IT’s quarterly revenue run rate has increased by close to 20% in just two quarters. Momentum is broad based, for example, in our IT group, our primary clients are beginning to see an increase in demand for their product, translating to increase support, allowing us to secure more than 500 K in new business, while introducing new application development techniques to this particular client. Another example is from our Life Sciences Practice. As we repositioned, RCM will be addressing this as health and life sciences. Changes in regulations are always a driver. And with proposed changes in validation, RCM is taking a lead voice in CSA, computer systems assurance. Other significant changes include those in data protection or GDPR and data integrity. We are already seeing requests for these new service offerings. Lastly, turning to our engineering division, we generated revenue of $14.5 million in the first quarter of 2021, growing both sequentially and on a year-over-year basis. Of note, this was the first quarter to exhibit year-over-year revenue growth since Q3 of 2018. We are cautiously optimistic that deferment and project-related activity will turn around as we move into the second half of the year. Our aerospace unit is seeing a strong backlog of work after receiving a 13-month engineering contract from a major defense prime contractor. But that brought in the addition of over 80 new positions starting in February of 2021. The pipeline of new engineering and tech [ph] opportunities continues to grow. We are seeing more opportunities as OEMs, recognize the value and importance of RCM as a U.S. owned company and the security that provides in having your value chain onshore domestically. In addition, RCM continues to expand its aftermarket specialty services to meet the growing demands for increased standardization and digital documentation.  Regarding our energy services unit, we continue to stay close to our customers in order to intimately understand their needs. This focus has paying off as we want to detail design contract and received the first work release of a three-plus year engineering engagement that we believe will culminate in over $8 million in revenue to build North America's largest underground substation. Lastly, turning to our process and industrial unit, our patented process technologies and equipment fabrication in the ethanol market is supporting clients and more efficient processes and resulting in greater yields. This value proposition has resulted in us receiving several awards in the first quarter of 2021 for fuel ethanol plant upgrade projects. These are now in final contract negotiations, and we expect these projects to kick off this summer. We also have an impressive pipeline in place that can possibly turbocharge our finished to 2021 and our fiscal 2022. Going forward, we look for improved performance in our engineering division. The level of activity in our pipeline is improving. This concludes our prepared remarks. At this time, we will open the call for questions.
Operator: [Operator Instructions] Okay. Our first question comes from Bill Sutherland. Your line is open.
Bill Sutherland: Thank you. Good morning, Brad and Kevin.
Brad Vizi: Good morning.
Bill Sutherland: I wanted to just – thanks for the detail on the segments, Kevin. The engineering group, are you – when you talked about just most on the last part on the P&I, the several awards on the ethanol upgrade types of projects. How should I think – how should we think about the aggregate impact of that? In other words, these size wise, just an order of magnitude, sounds like a lot of business potentially.
Brad Vizi: Thanks for the question, Bill. In terms of magnitude, projects could range materially from several $100,000 up to multiple millions of dollars. What's exciting about where we're at in that business is when you look at our pipeline in aggregate? So the potential is quite substantial. The downside is very project oriented. So time it could be a challenge to gauge. However, we are at various stages of the process in multiple projects. And so our competence factor is increasing with respect to timing as we enter the second half.
Operator: Okay. Our next question comes from Alex Rygiel. [B. Riley Securities] Alex, your line is open.
Alex Rygiel: Okay. Thank you. Good morning, gentlemen. Nice quarter.
Brad Vizi: Thank you.
Alex Rygiel: Kevin, can, you run back through, what were those non-school revenue numbers in the specialty healthcare business?
Kevin Miller: Yes, sure. Hold on. Let me just – we were at $7.8 million in Q1 of 2021 this current quarter and $8.3 million in Q4 of last year. And we were – year-over-year, we were $4.7 in Q1 of last year, Q1 of 2020.
Operator: Okay. It looks like we have another question from Bill Sutherland. Bill, your line is open.
Bill Sutherland: It looks like we're going to have to go one question at a time here. I was just going to follow up with engineering on the gross margin in the quarter, just a little color, because it came down quite significantly?
Brad Vizi: Yes, Bill. That's primarily a function of mix. As Kevin alluded to in our prepared remarks we had a very material contract in size. I started to ramp up in the first quarter and we will continue to ramp into the second. The contribution margin is attractive of the business, but the gross margin is dilutive on a consolidated basis. Kevin, do you want to add to that?
Kevin Miller: Yes. No. It's lower than our normal margins, but it's a sizeable contract that we won that was competitive bid. The important thing is it's very accretive to our contribution margin just to unfortunately dilutive to our gross margin. But it's a fantastic contract to have. We're really excited about it. Other than that, there's just, the normal gyrations that you see from quarter-to-quarter. Utilization is probably off a little bit in Q1, in terms of where we'd like to see it. So those are the two factors. But we expect to see some improvement in the gross margin going forward.
Operator: Okay. It doesn’t look like there is any more questions. [Operator Instructions] And Alex Rygiel. Your line is open.
Alex Rygiel: Thank you. Kevin, can you quantify what the year-over-year revenue decline was in the school business and in a normal operating environment, we expect all that to come back?
Kevin Miller: Sure. Well. I'll just give you the school revenues, so that you have them. The school revenues in the first quarter of this year was $13.3 million. In the fourth quarter of last year, they were $10.3 million. If you look at the first quarter of last year, we were at $17.5. And if you look at the fourth quarter of 2019, we were at $19.4. So the fourth quarter of 2019 was our highest school revenue point. That's when we were really peaking before we were impacted by COVID in Q1. As you may recall in early March of last year, all the schools shut down. So, in the first quarter of last year, I think, we would have been – we would have beaten the fourth quarter of 2019 if it was not for COVID. In terms of what the expectation should be, going forward, I think, if you assume the same number of school days, which we don't have in Q2, we probably would be up in Q2. But we do lose the month of June in Hawaii because they closed at the end of May and then they pick up again in early August. So, in terms of school revenue in Q2, probably be somewhere around where we are in Q1, give or take a little bit. And then as far as looking into Q4, which I'm sure you're interested in, it's hard for us to really say whether – because we just don't know if the schools are going to be back to every kid in the school every day. But certainly, we expect to continue to see significant progress in the school revenue in Q4. We just don't know how it's going to compare to sort of Q4s of the past at this point.
Operator: Okay, Bill Sutherland your line is now open again.
Bill Sutherland: Following-up on that discussion on the schools, Kevin do you have any…
Kevin Miller: If I could just interrupt you for a second, the operator is listening, it's okay for these guys to ask multiple questions on one run here. So, we don't need to cut them off after one question, please. Thank you.
Bill Sutherland: Okay.
Kevin Miller: Go ahead Bill.
Bill Sutherland: Actually, I think, I just have one or two at this point. But thanks again.
Kevin Miller: Just go for it then. 
Bill Sutherland: So, anything that is material developing in your pipeline for school expansions or additions as you look ahead?
Kevin Miller: We have a lot developing. We've won several new contracts, whether they're going to be material or not remains to be seen. We've won about probably a half a dozen new school contracts that are starting, either the end of this year, which if you get into a school towards the end of the school year, you're typically not adding a lot. You're sort of gearing up for the next school year. But we've added about a half a dozen new schools in various states. But I can't tell you yet if they're going to be material. Certainly, we don't expect them to be anywhere near the big three. But on aggregate they could make an impact. And the reason why I hesitate to tell you this is we often just don't know until we get in there and start trying to please people and get orders. We've won contracts in the past with big school districts that just didn't turn out to be big contracts. So, we're always a little hesitant to say, oh well, this particular city is going to be a big contract because we just don't know. But we are excited that one, the number of contracts that we've won. I can tell you that we have not headed into a new school year with the number of new contracts that we've won this year. And hopefully, they'll turn out very well.
Bill Sutherland: Right. And are these, kind of typical positions or more paraprofessionals?
Kevin Miller: They are across the board therapists. None of them are pure power professionals, but we've won some nursing, we've won some therapy. Nursing and therapy, nothing in the pure paraprofessional area.
Bill Sutherland: Okay.
Kevin Miller: But we like to win some of those as well. But we’ll see.
Bill Sutherland: And then last, I just noticed the SG&A improved a lot. I’m wondering kind of what's behind that or what sustainable?
Kevin Miller: We expect to grow the SG&A just because we want to continue to invest in sales. And hopefully, as the year hopefully improves, we'll need to accrue more for incentive compensation as well. So, what's driving is just a hyper-focused on getting efficiency from our labor. We made a lot of cuts last year, we've brought some of that expense back, but we just haven't brought all of it back. But we do continue – we do expect to continue to invest, so that we can continue to grow the top line and grow gross profit dollars. But we will remain vigilant, and focused and efficient.
Bill Sutherland: Got it. Okay. That's it for me. Thanks.
Operator: Okay. Doesn't look like there's any more questions in the queue. 
Brad Vizi: Thank you for attending RCM’s first quarter conference call. We look forward to our next update in August.
Kevin Miller: Bye everyone.
Operator: This concludes your call. You may now disconnect.